Operator: Good morning, and welcome to the Bridgewater Bancshares, Inc. 2025 First Quarter Earnings Call. My name is Constantinos, and I will be your conference operator today. All participants have been placed in listen-only mode. After Bridgewater Bancshares, Inc.'s opening remarks, there will be a question and answer session. Please note that today's call is being recorded. At this time, I would like to introduce Justin Horstman, Vice President of Investor Relations, to begin the conference call. Please go ahead.
Justin Horstman: Thank you, Constantinos, and good morning, everyone. Joining me on today's call are Jerry Baack, Chairman and Chief Executive Officer; Joe Chybowski, President and Chief Financial Officer; Nick Place, Chief Banking Officer; and Jeff Shellberg, Chief Credit Officer. In just a few moments, we will provide an overview of our 2025 first quarter financial results. We will be referencing a slide presentation that is available on the Investor Relations section of Bridgewater Bancshares, Inc.'s website, investors.bridgewaterbankmn.com. Following our opening remarks, we will open the call for questions. During today's presentation, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution that such statements are predictions and that actual results may differ materially. Please see the forward-looking statement disclosure in the slide presentation and our 2025 first quarter earnings release for more information about risks and uncertainties which may affect us. The information we will provide today is as of and for the quarter ended 03/31/2025, and we undertake no duty to update the information. We may also disclose non-GAAP financial measures during this call. We believe certain non-GAAP financial measures, in addition to the related GAAP measures, provide meaningful information to investors to help them understand the company's operating performance and trends, and to facilitate comparisons with the performance of our peers. Caution that these disclosures should not be viewed as a substitute for operating results determined in accordance with GAAP. Please see our slide presentation and 2025 first quarter earnings release for reconciliations of non-GAAP disclosures to the comparable GAAP measures. I would now like to turn the call over to Bridgewater Bancshares, Inc.'s Chairman and CEO, Jerry Baack.
Jerry Baack: Thank you, Justin, and thank you, everyone, for joining us this morning. I am pleased to report on Bridgewater Bancshares, Inc.'s strong first quarter with adjusted earnings per share of $0.32, excluding merger-related expenses. We saw a continuation of the momentum and trends that began in 2024. Our strong quarter was highlighted by robust balance sheet growth and net interest margin expansion. Generating strong loan growth has always been a strength of Bridgewater Bancshares, Inc., but with our increased focus on core deposit growth over the past two years, including 8% annualized growth in this first quarter, we are well-positioned to again be more offensive-minded on the loan front. In addition, we have seen increased loan demand in our market, driving our pipelines to the highest level since 2022. As a result, first-quarter loan balances increased 16% on an annualized basis. We are thrilled with our team's commitment to our solid client base. We saw net interest margin expansion accelerate during the quarter, climbing 19 basis points. This was driven by lower deposit pricing, continued higher pricing of loan yields, as well as some accretion benefit. With our strong balance sheet growth coupled with the higher margin, we were able to execute on driving continued net interest income growth during the quarter. The overall asset quality of our loan portfolio remains superb as we had no net charge-offs during the quarter while market trends in The Twin Cities remained favorable. Our credit and lending teams partnered together to ensure our credit quality remains a focus independent of market fluctuations. We did move one Central Business District office loan to non-accrual, which increased non-performing assets to 0.2% of assets. This did not come as a surprise as it was a loan we have been referencing in prior quarters. Jeff will provide some more details in a few minutes. Overall, we believe the superb asset quality track record we have over the years remains intact, and we feel good about the portfolio. Finally, we continue to focus on creating shareholder value. One of the ways we do this is by consistently growing tangible book value. As you can see on slide four, I want to note we saw our first decline in years last quarter, all due to the First Minnetonka Citibank acquisition. But as expected, tangible book value bounced right back in the first quarter, up 12% annualized. In addition, given the valuation during the quarter, we opportunistically repurchased about $600,000 of common stock. I also want to take a moment to talk about the market volatility we have seen over the past several weeks. The concern over the effects of tariffs certainly creates a more challenging operating environment by introducing uncertainty that can impact everything from the ability of our clients to do business to the path of interest rates. It is still early in the process with nothing fully resolved, but we are actively reaching out to clients to understand any concerns or possible impacts. We also are reviewing our portfolio to identify potential areas of enhanced risk. We are continuing to operate a best-in-class organization with seasoned and emerging talent across the company. We see real opportunities even as we operate business as usual to gain market share by supporting existing clients and bringing new ones on board. We are expanding our market reach with a good example being the traction we continue to generate in our affordable housing vertical, which Nick will take a moment to talk about later. With that, I will turn it over to Joe.
Joe Chybowski: Thank you, Jerry. Slide five shows the accelerated net interest margin expansion and net interest income growth we saw in the first quarter. The margin increased 19 basis points to 2.51%, while the core margin, which excludes loan fees and purchase accounting accretion, increased 13 basis points to 2.37%. Margin expansion was primarily driven by the continued decline in deposit costs as we saw the full impact of the fourth quarter rate cuts. Purchase accounting accretion contributed eight basis points to the first quarter margin. When we combine this with the robust loan growth we had in the first quarter, we get a 12% increase in net interest income, which is what we are really focused on. As we think about the margin outlook going forward, there is plenty of uncertainty given the market today. The margin will be dependent on future rate cuts and the shape of the yield curve. With no rate cuts in the first quarter, we would expect margin expansion to moderate in the second quarter as loan yields continue to reprice higher and deposit costs start to stabilize. We would also expect to see less accretion impact over the remainder of the year. Any future rate cuts in 2025 would likely provide a further benefit to the margin. Given our outlook for additional margin expansion and loan growth, we believe we are well-positioned to see continued net interest income growth going forward. Slide six provides a closer look at the margin drivers, the biggest of which was the lower cost of funds. With a large portion of our funding base tied to short-term rates, we saw the full quarter impact of the November and December rate cuts. We also continued to reduce rates on other deposit accounts, resulting in deposit costs declining 22 basis points to 3.8%. Loan yields also increased six basis points despite the lower rate environment due to our larger fixed-rate portfolio. We saw the full impact of the ramp-up in loan originations in the first fourth quarter, and new origination volume remained strong in the first quarter as well, with a weighted average yield in the mid to high sixes. We would expect to see the portfolio loan yield continue to reprice modestly higher even if short-term rates continue to fall. We still have over $700 million of fixed and adjustable-rate loans maturing or repricing over the next twelve months at yields below new origination levels. Turning to slide seven, you can see that profitability trends, including total revenue and pre-provision net revenue, continued to increase primarily due to the stronger net interest income. In fact, total revenue was up 23% on a year-over-year basis. Non-interest income of $2.1 million remained elevated and included $325,000 of investment advisory fees from a new product we added through the First Minnetonka Citibank acquisition. The first quarter included some catch-up from the fourth quarter, so a more normalized run rate for this line is in the range of $200,000 per quarter. On slide eight, expense growth to support the larger balance sheet continued to track in line with expectations as first-quarter expenses included the full quarter run rate of the acquisition. The bar chart on the right of the slide breaks out the $565,000 of merger-related expenses during the quarter. Our efficiency ratio has also continued to improve, with the adjusted efficiency ratio moving back into the low 50s. While our expenses have consistently been well-controlled, we are now seeing the revenue momentum drive the efficiency ratio lower. With that, I'll turn it over to Nick.
Nick Place: Thanks, Joe. Turning to slide nine, we've really been pleased with the momentum on the core deposit front, as balances were up 8.3% annualized in the first quarter. We have now generated $368 million of core deposit growth over the past three quarters, and that excludes the core deposits from the First Minnetonka Citibank acquisition in the fourth quarter. The growth we have seen in recent quarters comes from expanding relationships with existing clients, as well as onboarding new client relationships. This has really been a function of the focus our teams have on service and networking. While we feel good about our deposit pipeline going forward, the second quarter is typically a seasonally low quarter for us given tax season and interest cyclicality. As a reminder, our core deposit growth is not always linear quarter to quarter due to the nature of our deposit base, so we could see some quarters with larger inflows or outflows. Driven by this deposit growth momentum, we were able to return to a more offensive-minded approach on the loan side, resulting in 15.9% annualized loan growth in the first quarter, as shown on slide 10. We were pleased to see the increased demand and pipelines we've been talking about over the past couple of quarters translate into higher loan originations and in turn higher balances. As we look ahead, we remain confident in our ability to grow in the mid to high single-digit range for the full year 2025. Given the head start we have from the first quarter, there is potential we could even outperform this range. However, near-term loan growth will depend on a variety of factors. In terms of potential tailwinds, our loan pipeline remains at the highest level since 2022. We are also continuing to see opportunities to bring on new clients, a result of market disruption in the Twin Cities. But there are potential headwinds as well, most notably the economic uncertainty and market volatility regarding tariffs. While we haven't seen significant impacts on the clients to date, we are expecting clients to become a bit more cautious on projects during this period of uncertainty. Overall, we feel we are in a good position to continue growing the loan portfolio, especially with our loan-to-deposit ratio of 96.6% remaining near the low end of our target range. Slide 11 provides a closer look at our origination and payoff trends. After bottoming in the third quarter of 2024, we have seen two consecutive quarters of strong originations, including 17% growth in the first quarter. Loan payoffs, on the other hand, declined 45% during the quarter. The pace of payoffs can be difficult to predict, but we expect the decline in rates we have seen so far in the second quarter could translate into higher payoffs as refinance options become more attractive for clients. Payoffs will continue to be a factor in our growth over the remainder of the year. Turning to slide 12, the majority of the loan growth in the first quarter was driven by multifamily, much of which came from our affordable housing vertical. As we have talked about recently, affordable housing has been a longer-term expertise which we have been investing in more heavily over the last two years. This is an asset class that generally has a higher barrier to entry given the more complex nature of the transaction. We have developed a deep expertise in the space, and with our strong networking base, we have expanded this vertical to high-quality affordable housing sponsors throughout the country. Affordable housing is now nearly a $600 million portfolio for us, including 13% growth over the past year. An added benefit is that this also has become a great source of core deposit growth. Beyond our affordable housing activity, we saw a return to growth in our construction portfolio, which had been seeing an increase in new construction projects in the back half of 2024, and these commitments have now started funding, translating into growth on the balance sheet. Overall, we remain very comfortable with the mix of the loan portfolio. With that, I'll turn it over to Jeff.
Jeff Shellberg: Thanks, Nick. Slide 13 provides a closer look at our multifamily and office exposure. We continue to see positive multifamily market trends in the Twin Cities as the strong labor market and near nation-leading affordability has led to improved absorption levels, all of which suggest a favorable outlook for future occupancy rent growth. We are seeing this play out as rent growth, lower vacancy rates, and fewer concessions are resulting in higher levels of net operating income for clients. While higher rates continue to be a headwind, we remain bullish on multifamily given the improved overall market trends and our track record and expertise in this space. Nick also mentioned our focus on affordable housing. About 24% of this portfolio is located outside of Minnesota. The out-of-market component results from us following strong local affordable housing borrowers to new markets as well as our increased comfort working with a wider range of seasoned national affordable housing sponsors. Our non-owner occupied CRE office exposure remains limited at just 5% of total loans. Over the past few quarters, we have mentioned two Central Business District office loans that we have had some concerns about due to lease rollover risk. One was moved to non-accrual in the third quarter of 2024 and the property was sold in the fourth quarter. The other was moved from special mention to substandard and non-accrual in the first quarter of 2025. We had been closely monitoring the risk of this property for some time. The borrower has remained engaged but has not been able to backfill the space being vacated in the second quarter. While central business district office remains a challenging asset class, we don't have any significant concerns regarding our remaining three loans in this portfolio, two of which are in the early stages of being converted to multifamily. Turning to Slide 14, our overall credit profile remains strong. We recorded a $1.5 million provision in the quarter, which was primarily growth-driven. We remain well reserved at 1.34% of loans. Non-performing assets increased to 0.2% of loans due to the central business district office loan I mentioned. However, our non-performing assets continue to remain well below peer levels. We also had virtually no net charge-offs in the first quarter. Slide 15 highlights our watch, special mention, and substandard loans, which have remained relatively stable overall. Watch and special mention declined in the first quarter, while substandard increased primarily due to the migration of the One Central Business District office loan. We continue to be very pleased with our overall asset quality. However, with the loan portfolio now over $4 billion, there will always be the potential for occasional one-off issues here and there. We remain diligent in our risk management and covenant testing practices to identify potential issues early in the process. I'll now turn it back over to Joe.
Joe Chybowski: Thanks, Jeff. Slide 16 highlights our stable capital position as capital ratios leveled off following the acquisition in the fourth quarter. This included CET1, which remained above 9%. During the quarter, we repurchased approximately $600,000 of common stock. We will continue to evaluate future repurchases based on a variety of factors, including valuation, capital levels, growth opportunities, and other uses of capital. As of quarter-end, we still had $14.7 million remaining under our current share repurchase authorization. In the near term, we expect capital levels to hold relatively stable given our stronger growth outlook. Turning to slide 17, I'll recap our near-term expectations. Keep in mind that these are all dependent on market conditions given the recent volatility. As Nick mentioned, we feel good about our loan growth outlook, while understanding there is uncertainty that could impact the pace going forward. We remain confident that we can achieve full-year loan growth in the mid to high single digits. Given our head start in the first quarter, there is potential to outperform these expectations. We have been pleased with the level of margin expansion over the past two quarters and believe there is still more to come. However, the magnitude will be largely dependent on additional rate cuts and the shape of the yield curve. For the second quarter, we would expect the pace of expansion to slow from what we saw in the first quarter, primarily due to stabilizing deposit costs and less accretion benefit. If we do see additional rate cuts in 2025, we could see the margin expand a bit more quickly. Regardless, our focus is really on growing net interest income. We believe we are well-positioned given our outlook for margin expansion and balance sheet growth. From an expense standpoint, we are right on track for full-year 2025 noninterest expense growth in the high teens, excluding merger-related expenses. As a reminder, this higher-than-normal pace in 2025 is to help support the larger asset base following the acquisition, as well as some redundant expenses until we reach systems conversion. We feel we are well reserved at current levels and would expect provision to remain dependent on the pace of loan growth and the overall asset quality of the portfolio. I'll now turn it back to Jerry.
Jerry Baack: Thanks, Joe. Finishing off on Slide 18, I want to provide a quick update on our 2025 strategic priorities. In the first quarter, we demonstrated our ability to get back to more normalized levels of profitable growth, both on the loan and deposit side. Gaining market share remains a focus, and continued market disruption in The Twin Cities is an opportunity for us, both from a client and talent acquisition standpoint. We are seeing traction in the affordable housing and C&I spaces. Finally, our teams remain on track for two significant technology initiatives this year, including an upgraded retail and small business online banking platform and the systems conversion of our recent acquisition. That said, we will open it up for questions.
Operator: The first question comes from the line of Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks. Good morning. Just a question on the CRE front from your perspective. I guess are you seeing any change in competition? It seems that one more bank is kind of signaling a subtle shift into CRE away from C&I from a preferred asset class. Your franchise certainly knows the merits and health of CRE long term. I just wonder if you're seeing peers act any differently in the last few quarters.
Nick Place: Hey, Jeff. This is Nick. Yeah. I think we've mentioned that on prior calls. I think as a lot of the liquidity constraints in the market have subsided over the last three quarters, we've seen some players that have been on the sidelines get more active again. So, you know, that has tightened spreads a bit, as there's been a bit more competition. You know, I think we're actively monitoring what's gonna happen with the Bremer and ONB merger to understand what that means for their ability to originate the same volume of loans that the previous two organizations did once the merger is complete. So we think that should unlock a little bit more potential for us. But some of the smaller players that, historically, over the last year or so had been on the sidelines do seem to be a bit more active, and it's tightened spreads a little bit. You know, I think we still feel really good about our ability to get looks at transactions and our deep relationships with clients. So in a lot of cases, it kind of gives us a last look at deals too, where we can be competitive on transactions that we really like.
Jeff Rulis: Thanks, Nick. Joe, maybe a question for you on margin. Certainly, a little accretion help, but the core margin is encouraging. Do you have the March average on margin? And then certainly looks like the ability to further lower costs and hold loan yields up looks positive. But just hoping for a little detail there.
Joe Chybowski: Yeah. Jeff. Yeah. Full year or sorry. Month of March margin was 2.53%. So I think as you compare that relative to the 2.51% for the quarter, and then deposit costs were 3.18% for the quarter. For March, standalone was 3.17%. So I think that's really when we think about the guide on a go-forward basis, still really encouraged by the progress of our teams, especially on the deposit cost front. And there's definitely still opportunity there, especially if we see rate cuts in the back half of the year. We're going to continue to be disciplined on both sides of the balance sheet, pricing loans at levels that we think make sense. And given the flow that we see of transactions, we can be selective and be disciplined on price. And then, obviously, continue to rationalize deposit costs lower. So feel good and optimistic about continued margin expansion. I think what we're saying though is just the pace that we saw in the first quarter, we'd expect that to moderate in the back half.
Jeff Rulis: Got it. Thanks. And I just as a follow-up, the loan growth in the quarter, was that pretty steady? I'm kind of thinking about if that were a little more back-end loaded, you didn't see the full margin benefit. But just trying to I guess, the question, how was that growth spread over the course of the first quarter?
Joe Chybowski: Yeah. It was pretty even across the quarter. Maybe a little loaded toward the back half. But it wasn't heavy in any one month.
Jeff Rulis: Okay. And maybe one last one. For Jeff on the one loan, put on non-accrual, you did identify the prior center business loan that was sold. Any thoughts on the workout timeline with this one on non-accrual? And is this a little more detail is this a longer-term customer? Just the comfort level around that loan. Appreciate it.
Jeff Shellberg: Sure. Yeah. I think it I mean, just given that challenging central business district asset class, I think it's gonna be a little bit longer term to work out. The borrower is engaged. We're working with them on some type of a workout plan that would allow them just to stay in the property, continue to manage the property, and hope to stabilize it over a period of time. But that's gonna be dependent a little bit on economic conditions.
Jeff Rulis: Okay. Thanks. I'll step back.
Operator: Next question comes from the line of Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Hey, everyone. Good morning. Appreciate you taking the questions. Joe, just curious how you're thinking about kind of exit point for the margin come out of this year to the extent we maybe get a couple of Fed cuts in the back half of the year. You obviously provide great disclosures in the deck in terms of some of the asset repricing and some of the index funding on the balance sheet. But just wonder if you can put that all together within the context of maybe a couple rate cuts within the back half of the year.
Joe Chybowski: Yeah. Well, I think as we've said in the past, I mean, we've spent a lot of time last year positioning the deposit and funding portfolio to benefit from rate cuts. And obviously, we saw that in the fourth quarter and we really saw it in the first quarter. So I mean, we got $1 billion of the funding base is explicitly linked to short-term rates. And so if you see one cut, three cuts, five cuts, it's obviously going to be beneficial for us the more the better from the deposit standpoint. So I think we've obviously shied away in the past of explicitly linking each 25 basis point cut. But I will say, yeah, that will certainly be beneficial. I think shaping the curve is also a big thing for us given the type of lending that we do. So I just think first quarter we spent a lot of time going through the deposit portfolio beyond those accounts that were linked to Fed funds. And, you know, we saw opportunity there and continue to rationalize, and we will do that going throughout the year. So I think all in all, I mean, you know, from our standpoint, we still feel like there's expansion just given those dynamics. I mean, the loan portfolio continues to reprice. I think the pickup in growth obviously accelerates some of that repricing, which is great. I also would say we you know, with this increase in originations over the last couple of quarters, we've been really focused on diversifying the structure of fixed to floating to adjustable. And so you know, almost 50% of the originations in the first quarter were linked to more floating rates. And so I think it's been an approach to be more balanced throughout. And so I think you put that all together. I mean, we're confident with expansion. I just think what we're trying to say is we're really pleased with the first quarter. We wouldn't expect that type of expansion on a linked quarter basis. But I think overall directionally, we feel better and feel good about trajectory. And I think the last thing I would say is just at the end of the day we're focused on net interest income growth and I think when you have a stabilizing to expanding margin, a pickup in growth, that obviously is the output. And so we feel really good about over the last quarter and certainly over the last year.
Nathan Race: Got it. Really helpful. Thanks for that, Joe. Then maybe a question for Nick. As you look at the loan pipeline today, just curious what you've seen in terms of pricing on new production lately, curious within that context, you seen any kind of shifts from a competitive pricing perspective within the last ninety days or so?
Nick Place: Yeah. I mean, like I mentioned before, we've seen spreads tighten in a little bit. But, you know, our new origination are still coming on right around 5% plus or minus. So it's still well above current portfolio yields, and, you know, and we've been we talked about the affordable housing vertical. I mean, we've been really pleased with not only the volume that we've been able to drive through that initiative, but a lot of those transactions, given the complexity, do tend to come on with a bit higher pricing than what we'd see in sort of a competitive local sponsor CRE deal. So, you know, overall, that's a business line that is a bit less susceptible to sort of local market competition, which is great.
Nathan Race: Okay. Got it. I hopped on late, I apologize if you already touched on this. But were there any specific allocations on the credit the office credit that migrated in the quarter. Either going in the quarter that were allocated during one q.
Jeff Shellberg: Yeah, we have established a specific reserve for that credit.
Nathan Race: And Jeff was that already there going in the quarter or was that allocated in the first quarter?
Jeff Shellberg: That was allocated in the first quarter.
Nathan Race: Okay. Got it. Maybe one last one for Jerry. Just curious what you're hearing and seeing on the M&A front these days, curious if there's similar deals to the one you guys closed on late last year that, you know, could be additive to the franchise going forward.
Jerry Baack: Well, as I mentioned in previous calls, I mean, we're consistently getting in front of other owners that own smaller franchises in the Twin Cities. So continue to be in discussions, but certainly nothing imminent.
Nathan Race: Okay. I appreciate all the color. Congrats on a great quarter, guys.
Operator: The next question comes from the line of Brendan Nosal with Hofter Group. Please go ahead.
Brendan Nosal: Hey, good morning guys. Hope you're doing well.
Jerry Baack: Good morning, Brendan.
Brendan Nosal: Most of mine have been asked so far, but maybe one more, just on the buyback, Joe, you spoke to this a little bit in your prepared remarks. We're just kind of curious on the decision process over the next few quarters on additional share repurchases. You balance buying back at a pretty attractive price versus the capital needs to fund return of loan growth?
Joe Chybowski: Thanks. Yeah. I think our messaging hasn't changed there either. I think it's not one thing that's driving that. I think we're constantly evaluating valuations, needs, opportunities, to Jerry's point on the M&A front. So I think right now, we feel really good about the growth prospects, and we certainly want to have capital to continue the growth and the trajectory that we see. I think we're gonna weigh that. Obviously, periods of volatility, I mean, we support the stock. And so but I think there's no one thing that's driving it. And we're constantly evaluating every day.
Brendan Nosal: Okay. Understood. Alright. Thank you for taking my questions. Appreciate it.
Operator: This concludes our question and answer session. I will now turn the call back over to Jerry Baack for any closing remarks. Thank you.
Jerry Baack: Thanks for joining the call today. We're really excited about the strong start to 2025 we've had and really feel great about the remainder of the year. I think the disruption with Bremer being sold and then Wings being announced for doing a merger too that was announced last night. Just all of that creates opportunity for us, and both of those companies have been very aggressive on rates over the last few years, and we feel that that disruption will continue to benefit us in the years ahead. So I just want to one more time, thank our incredible team here, and everybody enjoy their day. Thanks.